Operator: Good day and thank you for standing by. Welcome to Niu Technologies First Quarter 2022 Earnings Release Conference Call. At this time all participants are in a listen only mode. After the speaker's presentation there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. And now I'll like to hand the conference over to Ms. Wendy Zhao from Niu Technologies IR team. Thank you. Please go ahead.
Wendy Zhao: Thank you, operator. Hello, everyone. Welcome to today's conference call to discuss Niu Technologies Results for The First Quarter 2022. Earnings press release, corporate presentation and financial spreadsheets have been posted on Niu’s Investor Relations website. This call is being webcast from company's IR website and a replay of the call will be available soon.  Please note today's discussion will contain forward-looking statements on made under the safe harbor provisions of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve risks, uncertainties, assumptions and other factors. The company's actual results may be materially different from those expressed today. Further information regarding the risk factors is included in the company's public filings with the Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statement except as required by law. Our earnings press release and this call include discussions of certain non-GAAP financial measures. The press release contains the definition of non-GAAP financial measures and the reconciliation of GAAP to non-GAAP financial results. On a call with me today are CEO, Dr. Yan Li; and CFO, Ms. Fion Zhou. Now let me turn the call over to Yan.
Yan Li: All right, thank you everyone for joining us on the call today. In Q1 2022, we witnessed the growth in both the China and overseas markets. Total sales volume was up 9.4% year over year. The China market has a volatile quarter mainly caused by the COVID outbreak and a city lockdown that lasted over a month in Shanghai and in Changjiang Delta region. We had a strong opening in China with sales volume growth of 91.6% year over year in January and February. However, in March our China sales performance was adversely affected by the COVID outbreak due to the retail lock downs as well as the manufacturing and the logistic disruption for nearly two weeks. And we experienced 24.1% decline year over year in March. Despite the decline in March, we still had a moderate positive growth of 3.0% year over year in China market in Q1 due to the strong performance in the first two months.  Now turning to the international market, we’re seeing a solid growth in the overseas market despite the manufacturing disruptions. Total sales volume outside China reached 14.7k marked 193.7% year over year growth in Q1. The solid growth was a result of our expansion of new product categories sold in Europe and North America. We newly launched kick scooters were tested to be a success in the two-market mentioned above.  In this quarter, we sold nearly a 5000 electric moped and almost 10,000 kick scooters. The strong sales performance in the new kick scooter product category confirmed our effort in developing and diversified products tailored to different markets is paid off. We have built the infrastructure to support the design development and marketing alpha product offerings. Augmented about wide market rich in a geographic locations around the world, we aim to provide urban mobility solutions to the global market.  Now going into details on expansion our product portfolio in Q1 2022, we focus mainly on the growing of the goal of product lines to complete the goal of product offerings in China. In Q1, we introduced the GOVA G6 the light motorcycles, GOVA C3 designed specifically for female users and the GOVA C0 entry level electric bicycle targeting the mass market. In Q2, we're shifting the focus of product portfolio expansions of our product performance improvements and the two redefine classics bringing back the improved versions out of our some of our top selling models of MS in Niu Plus series.  Being the leader of the smart two wheelers, we continue to improve smart functionalities across our product portfolio. So allow me to go into detail one by one. First, we saw sharp growth in the light electric motorcycle market as our GOVA C3 being well received keep by the market was released last year. So capture this gross will release GOVA G6 at the end of March. The G6 is designed with upgraded battery capacity and it has a range of over 100 kilometers on single charge price that RMB3,999 to RMB4,309 as a male offerings.  Another trend we didn't want to make this growing market of the female electric moped and electric bicycle users, we’re well aware of the demand and the purchasing power behind this previously negative market segment of the female scooter users. We launched the GOVA C0 earlier last year as the entry level product specifically for female users. Now this year, we launched a GOVA C3 March as a model priced at RMB4,000 plus. It comes the multiple pastel colors and it is designed with a specialty headlight that really makes the design stand out. On the performance side the GOVA C3 also has a dry range of maximum 100 kilometers. The biggest highlight of the GOVA C3 is the improvement of user experience is the equivalent smart lock and dynamic mode to assist riding uphill, making the writing experience easy and enjoyable. The stylish design the user centric writing experience created a unique selling proposition in the market. Besides a two Niu mid GOVA product we also released GOVA C series which is another addition to the GOVA product line that continues GOVA urge on design with creative color combos for the entry riders. We introduced C0 products entry level price from RMB2,499. And there was more mid end GOVA B Series model to come later this year. Now with a comprehensive model of a GOVA B, G, F, C series we believe we had a solid product range covers in the mid end China electric bicycle and electric motorcycle market price from RMB24,9927 to RMB299. The newly released to mid end GOVA product C3 and entry level go up easier well received by the market accounting for almost 18% of sales in the first month of the rollout.  This again demonstrated our ability to create attractive and comprehensive product in the mid end market segment. I'll come into Q2, we’re releasing some upward version of the new electric bicycle products such as MFCU plus with a 20% performance improvement. Although we're bringing back our alumni use classic electric motorcycles of M1 and M plus, we find with new features such as longer dry range and upgrade smart function. We're excited about the growth driven by the performance improvement product in the Niu part series in the coming quarters.  Now for the international market, we continued effort in product development in the newly entered micromobility categories. The KQi3 Max is our most powerful and the fastest kick scooters with a maximum speed of 32 kilometres per hour and longer drive range that can go upto 35 kilometres. We plan to release the strong asset model in Q2 this year. Also the BQi C3 pro e-bike is designed with a stylish and practical lightweight frame. Together with pedal assist and throttle control make it easier comfortable as a city commuter bike. Both products were exhibited during the CES in Q1 in Las Vegas, and as well received by the audiences.  And lastly, we continue to improve the smart functionalities across our product portfolios. The newly launched models were both ago the new series are equipped with our new smart functions. Such an awkward app with GPS, the antitheft remote tracking scooter diagnostic features, and also the Bluetooth and NFC lock system as well as the smart key stored in lock. Those intelligent features into make the writing experience smart and easy for our users.  This new product offerings and functional upgrade not only helped to drive sales growth but also helped us to improve the product for the gross margin. We all know that the sharp rise in the raw material price, especially the 40% plus price hike in the lithium-ion battery costs has put a tremendous pressure on our gross margin. Given the lithium-ion battery accounted for 35% to 40% of our bomb cost. This was the main cost for our gross margin drop in Q1, an impact would be even bigger in Q2 since some of the raw material price increases are fully recognized in Q2.  Now by launching a new product and integrating new features to improve the performance of our existing products will increase the perceived value of our users and are able to sell the product at a premium price in order to close the gap in gross margin cost by the rising materials.  Now as we grew up product portfolios, we also expand our sales network in Q1 2022, we opened about 140 new branded stores in China totaling to 3248 stores throughout China. In the international market also broaden our sales channels with new partnerships. Previously with electric motorcycles we mainly held our overseas branded premium stores and independent motorcycle dealers selling electric motorcycles. Now with a fresh launch category of kick scooters, and to be launched e bikes will open up to work with electronics and general retail stores, as well as online like Amazon, and also Shopify website. We plan to keep growing the network as we grow product offerings and the penetrate into a broader market.  Our brand image it's always a real field behind the long-term growth. As we expand into new product categories internationally, we continue to build our brand image as a global leader of urban mobility. In Q1 we actually actively participate in exhibitions worldwide showcase our product live this year for global market. We participated in the Consumer Electronics Show in Las Vegas; the Viva La Moto Show in Madrid, Spain; and E tech show in Bologna, Italy. In some of these visions and conferences, Niu was the only two-wheeler vehicle brand invited, and our new products review gain exposures and the recognition industry. Now as a promoter of sustainable living for all we are also dedicated to provide our customers with more environmental friendly, smart urban vehicles to make a positive impact on the environment. We're spreading the idea of sustainable living throughout not just our products, but also our daily operations. Last year, we celebrated our 10 billion kilometres drive distance event, calculating carbon emission reduction of 2.5 billion kilograms ease those distances will travel with petrol.  During this quarter, we launch a program called renew a global sustainable initiative designed to renew our planet as part of our Earth Day campaign. We organize the Global Earth Day clean up that was designed to bring life into our urban environment that can galvanize the new users into actions across four continents. We have new clubs rally to clean up traps in public areas on the beach of valley in the Strait of Otranto, and even around the Asian remains of Guatemala.  In China, we'll also have user to share their stories to live greener with new, the user generated content is gained over 66 million views and almost 150,000 interactions of comments and likes across all social media platform. So similarly, we has been a core value to us since day one, and I'm proud to see our brand making a positive impact on the journey of sustainability with our users.  In China, as we expand to cover more broad range of consumer both demographically and geographically, we continue to spread the value behind our brand with a variety of campaigns. We carried on our successful campaign slogan, feel proud of yourself. In this quarter we’ve collaborate with China's top committee on a nationwide TV show and again over 2.9 billion viewership. Also, from March to April, we implement a QR marketing on Dalene platform with 15 technology and lifestyle influencers with larger fan base to create a high-quality content showcase our scooters.  The short videos, I'm going to total up 100 million views, and the formula interaction likes and comments. With further organize various user activists across China as a participation. For example, participation in Guangzhou ComiCon was user modify new bikes getting about 1.7 million views on social media. Also various new friends events, such as online income to hosting a new concert was well recognized singers. Now to conclude in Q1 2022, despite the headwinds caused by the COVID-19 raw material price increase, we will resilient your business operation.  Both the China overseas market has positive responses to our expanded product categories and new models, we plan to keep it broaden our product portfolio and already have a few products in line for production and market entrants for the coming quarters. Our branding and the marketing operations we actively promote our brand as a global leader in urban mobility industry, brand awareness and recognition from market we operate and create a long-term fuel for our company's growth.  Now looking forward to Q2 ‘22. It is no doubt a very challenging period for us given the uncertainty caused by the resurgence of COVID-19 China. As of May 2022, quite some major cities have been in full partial lockdowns which adversely affect the consumer spending in all categories with no exception to the demand of two-wheeler vehicles during the lockdown period. We are particularly impacted our sales are highly concentrated in the top tier cities where the COVID restraints are more rigid.  In addition, we continue to experience supply chain disruptions at some of the key suppliers are in sharp high visibility. The slowdown in manufacturing and logistics has affected our market performance globally. While the market demand US China faces uncertainties new Q2, our diversified growth strategy put in place since last year has trying some lights. The newly launched category of kick scooters have been grounded in Europe and North American market. Our kick scooter rents as Amazon bestsellers, there'll be electric scooter category for two weeks in a row in May. The to be launching electric bikes products will further strengthen our position at the urban mobility brand. The rising sales in our international market will help us to weather through the temporary downturns in the China market. Now we're also confident in our rebound in the sales in China Post the COVID-19 situation as the same trend observed in 2020. Now in the cities that have been hit by COVID, even though the fields are being hit temporarily. Now traveling with personal scooters appear to be recommended sometimes even as the only form of transportation in cities. For many riding a scooter is safer and easier transportation method and is even recommended method by local community officials. So expect to see a need for electric scooter and bicycle riding with the COVID easing in the coming quarters. So although Q2 will be a challenging quarter for us. Now with our new product offerings in pipeline for both, the China market and the international market, we're still optimistic for the entire year of 2022. Now, I'll turn the call over to Fion, our CFO to go through the financial results.
Fion Zhou: Thank you, Yan, and hello, everyone. Our press release contains all the figures and comparisons you need. And we have also uploaded Excel format figures to our IR website for your easy reference. As I review all financial performance, we're referring to the first quarter figures unless otherwise specified, and then all mandatory figures are RMB unless otherwise noted.  In the first quarter 2022, we are gratified to see the strong demand of kick scooter series since its last year in Europe and in US has been maintaining its momentum and the product mix in China market continue to move towards what we planned and expected. Among the total 149,000 sales in Chinese domestic market 31.4% are coming from the annual series and 38.4% from GOVA premium and only 30.2% from the GOVA entry. As Yan just mentioned, kick scooter sales volume in the overseas market reached nearly 10,000 and BMO path in e motorcycles, 5000. Talking about revenue, total revenue increased by 5.1% to RMB575.5 million compared to the same period last year.  Specifically, revenue from scooters increased by 17.5%, while revenue from accessories, spare parts, and services dropped by 48.9%. Nearly half the contribution of school revenue rose from 91.3% to, sorry, from 81.3% to 90.9% year over year.  And in China market, we managed to achieve a slight growth despite headwinds from COVID resurgence, and E scooter revenue from China market increased by 12.6% to RMB457.7 million accounting for 87.5% of total scooter revenue. And the world was mostly driven by the improvement in ASP as a result of a more optimized product mix, as I mentioned. Our newly released GOVA premium models targeting as mid end market has received a positive response and feedback. Solid growth from GOVA premium was also reflected in the ASP. The scooter ASP from China market was RMB307 to 9.4% increase from the first quarter 2021 Scooter revenue from overseas market increased by 68.9% to RMB65.7 million fueled by strong kick scooter sales since its official launch in quarter three 2021. The overseas scooter revenue as a percentage of total scooter revenue increased by 3.8 PPG to 12.5% year over year, indicating that our international sales keep growing steadily as we continue to expand product offers tailored to different community and to traveling in those markets. Among the total RMB65.7 million overseas scooter revenue, RMB21 million came from kick scooters, and the other RMB44.7 million were from mopeds and motorcycles.  Overseas scooter ASP as a whole file from RMB7786 to RMB4476. Since the kick scooter, which retail price is much lower than E mopeds and E motorcycles is included in the number. And ASP of E mopeds and motorcycles in fact, increased from increased by 18.5% year over year because of our high-end models like MGTV radio and MDT accounts for a higher proportion of the total sales volume. With all the above beans that blended scooter ASP increased by 7.5% to RMB3198, including China, E scooters, overseas, e scooters, and E motorcycle, and kick scooters altogether.  Accessories, spare parts and service revenue were RMB52.1 million, a decrease of a 48.9% from last year quarter one representing 9.1% of total revenues, compared to 18.7% of total revenues last year. The difference was mainly due to the overseas battery packs sales reduction, high freight costs and Euro depreciation against the US dollars has discouraged many distributors from stocking up in advance. We did not meet the previous guidance for this quarter, mainly due to the COVID impact on domestic market, which led to not only manufacturing and logistics disruptions, supply chain shortages, but also the severe retail this difficulties and transportation limitations in many big cities.  These headwinds may continue to cast impact on our performance in the second quarter. The gross margin for the first quarter declined by 4.7PPP from the same period last year to 19.1%. Largely due to the fewer sales from non-scooter parts and services, which have higher margins. And the consistently soaring cost of these in lithium-ion batteries, and the other call raw material price hikes. For example, aluminum, copper and rubbers pass on the cost pressure would actually raise the retail prices for all -- of all of our diesel battery models in China markets on April 1. And for some models in overseas markets on May 1. We believe that the retail price increases will sustain us through upstream cost inflation. And now let's turn to expenses. Total operation expenses were RMB143 million, an increase of 9.6% from the same period 2021. And operating expenses that percentage of revenue was 24.8% compared to 23.8% in the fourth quarter of 2021. And this increase was mainly due to the rising R&D expenses, which jumped to RMB41.8 million, 63.4% up year over year, but 7% lower quarter over quarter, and the majority increase year over year our design and testing expenses and staff cost. Being able to stay competitive in the market and to achieve sustaining growth significantly rely on our ability to keep launching popular products, which means the demands of our customers. That's the R&D has always been our priority ever since. And the marketing and selling expenses while the RMB70 million increased by 4.7% compared to quarter one 2021, mainly because of the decrease in advertising and promotion expenses. However, we did put much focus on ramping up kick schoolers are broad sales channels other than online channels like Amazon, Best Buy and Walmart, which we have already entered into.  We've expanded to some of the largest offline big box retailers. Retailers like Costco, the Car from Ocean and Snack, we believe these efforts will pay off in the kick scooter sales going forward, and G&A expenses remained flat 0.3PPP lower as a percentage of revenue as we continue to control costs and improve our operational efficiency.  Non-GAAP operating expenses, as a percentage of revenue was 22.6% compared to 21.7% of last year. Quarter one out of the 22.6% annual non-GAAP operating expenses. 11.5% was from the study and marketing expenses, 1.4 PPP lower than last two years. 6.4% was from the R&D expenses, 2.5 PPP higher than last year, and 4.7% was from G&A expenses, 0.2 PPP lower than last year.  This quarter we recorded a net loss of RMB29.6 million compared to the next loss of RMB5.4 million in the first quarter of 2021 and the net margin was negative 5.1% compared to the negative 1.0%. Last year. Non-GAAP loss was RMB16.3 million compared to last year's net profit of RMB6.7 million. Turning into our balance sheet and cash flow. We ended the quarter with RMB890 million in cash, term deposits and short-term investments, and RMB 223 restricted cash.  Our operating cash flow was 168 million, mainly due to the reduction in payable of 174 million as a result of nationality -- seasonality. And in addition, our purchase of raw materials battery pack have increased this since the second half of 2021 as we tended to lock in the price and avoid the adverse impacts from the further price hikes. Also due to the seasonality quarter wise the quarter in which we usually generated lowest sales throughout the year. Considering these two factors is typical net operating cash flow is negative for the full quarter each year.  Talking about quarter two guidance. Given the high uncertainty of China domestic market as we mentioned, especially the continuing negative impact of the recent outbreaks of offline retail. And we expect the revenue to be between RMB 800.3 million to RMB945 million representing a 15 degree to no change year over year.  With that let's now open the call for any questions that you may have for us. Operator, please go ahead.
Operator:
Yan Li: All right. Thank you, operator, and thank you all for participating on today's call and for your support. We appreciate your interest and looking forward to reporting to you again next quarter our progress.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You can all disconnect.